Operator: Good day and welcome to the EFSC Earnings Conference Call. Today’s conference is being recorded. At this time, I would now like to turn the call over to Mr. Jim Lally, President and CEO. You may begin, sir.
Jim Lally: Thank you, Chantal, and thank you all very much for joining us this afternoon for our third quarter earnings call. Joining me on the call this afternoon is Scott Goodman, President of Enterprise Bank & Trust; and Keene Turner, Chief Financial Officer of Enterprise Financial Services Corp. Before we begin, I’d like to remind everybody on the call that a copy of the release and accompanying presentation can be found on our website. The presentation and earnings release were furnished on SEC Form 8-K yesterday. Please refer to Slide 2 of the presentation, titled Forward-Looking Statements and our most recent 10-K and 10-Q, for reasons why actual results may vary from any forward-looking statements that we make today. If you would please to turn Slide 3 and refer to our financials scoreboard. We are pleased with the results of the third quarter and it represented another record earnings quarter for the company. Compared to a year ago, our earnings per share grew 41% to $0.97 per share on a fully diluted basis with core EPS representing $0.86 of that, this represented a 30% increase from a year ago. These results continue to show the core earnings strength of our company powered by a solid diverse balance sheet and continued positive operating leverage. Furthermore, they’ve manifested themselves into very attractive return on assets for the quarter of 1.63% with core ROA coming in at 1.45%. On a year-to-date basis, our core ROA at 1.7% represented a year-over-year improvement of 33 basis points. As in the past, we continue to focus on driving growth in net interest income dollars, this grew by 8% year-over-year in the quarter. As you will hear from Scott, our markets, like others, are competitive, but we are turning well. Through our relationships sales model, we were able to defend net interest margin, as you saw, this fell just one basis point from a year ago. Focusing on growing the C&I portfolio, over the last several years, is paying off, as pricing of this portfolio is typically floating allowing us to capture improved income from this portfolio short-term interest rates continue to rise. Although non-performance to total loans increased 17% from a year ago, there remain been very low on a relative basis at 40 basis points, and as Keene will discuss favorable when compared to peers. Finally, we saw our deposits grow 4% year-over-year in the quarter. Slide 4 remind you of where we are focused. As we finish up 2018, and begin our planning for 2019, we remain keenly focused on achieving our loan and deposit goals for 2018 and beyond. This will be done the same responsible relationship way that we’ve been able to do for our 30-year history. We will not play for the short term, rather we will always focus on setting near-term goals to achieve long-term objectives. This begin with consistently improving our sales culture and distinguishing ourselves from the crowd in banking market with distinguishable messaging and flawless execution as opposed to price in term. With that, I would now like to turn the call over to Scott Goodman, who will provide much more color on results for the quarter.
Scott Goodman: Thank you, Jim. Referring to Slide 5. Loan balances ended Q3 level with Q2 on a point-to-point basis. Average loan balances were up in the quarter roughly 6.5% on an annualized basis. However, timing on payoffs in line reductions resulted in a flat quarter end balance. Overall, I’m pleased with our continued activity and remain confident that our diversified loan origination strategy will continue to produce high single-digit growth. Loan activity in Q3 was solid with total originations up slightly from the prior quarter and C&I volume consistent. Funding on construction and development lending both in prior quarters is steadily increasing, contributing more in overall growth, while specialized segments of life insurance premium finance and agricultural lending also had strong quarters. Reductions to loan balances in the quarter reflected number of issues both managed and environmental. We continue to keep payoffs on investor-owned and CRE relating to the sale of properties and refinancing of bank debt to easily accessible secondary market alternatives. We expect this to continue to be a factor in the portfolio in the near term. The growth mentioned on CMV real estate loans is the result of our strategy in the commercial real estate sector to attract relationships where we can add value. Commercial real estate teams are focusing on opportunities where our expertise and flexibility adds value for the client such as construction and development, repositioning and stabilization of properties, rather than chase the market of long-term fixed rates or fall victim to weak structures in an attempt to compete with permanent market offerings. Turning now to Slide 6, offsetting the steady C&I origination activity, there were roughly $37 million of payoffs and paydowns of troubled credit in the C&I portfolio. Several of these were proactively managed out of the bank, while others we opted not to protect from alternative offers. We believe the current competitive climate and robust appetite in the market provides an opportunity to reduce risk in our portfolio. The focus remains on banking quality relationships but have the right credit risk and interest rate risk profile, as we know that is the path to value creation over the short and long term. Line usage also declined in the quarter. Following higher usage of lines by operating companies earlier in the year this trend reversed itself in Q3 with paydowns exceeding advances by roughly $26 million. The sector changes are outlined are in at Slide 7. Adding to my previous comments, premium finance growth in the quarter reflects typical seasonal increases on existing policies’ lendings as well as new originations. There’s also been a moderation of the payoff activity we experienced earlier in the year. The agricultural group continues to execute on their pipeline bringing a new relationships to the bank. Within our business units on Slide 8, specialized lending growth primarily reflects the strong quarter by life insurance premium finance and increased activity in our aircraft finance group. Enterprise value lending or EVL, has been relatively flat over the past years due to originations on new M&A lending being offset by the sale of platform companies within the portfolio. Higher multiples have driven our sponsored plans to be more selective on new additions to their funds I’ll taking the opportunity to lock in returns through the sales. As several rollout new funds, we are seeing new origination opportunities escalate and the pipeline for Q4 looks good in this business unit. Recently, St. Louis was the most heavily impacted in the quarter by the problem in credit paydowns, but did also have a good balance of commercial real estate and C&I loan origination activity that would normally drive growth absent these paydowns. Kansas City has had a strong year, particularly, as it relates to new commercial real estate. Originations in the quarter reflects a combination of development, refinancing and owner-occupied lending. They were also able to move a few C&I relationships from competition in the market, as we continue to target those banks impacted by changes in management succession or ownership. Growth in Arizona during Q3 includes a large new commercial real estate relationship, which resulted from steady and consistent calling over a number of years. Arizona also brought in a new C&I relationship as well as expanded several existing clients who have historically been with the larger banks, but were gaining comfort with our model and capabilities. Overall, the near term loan pipeline looks solid with a good mix of new C&I relationships, commercial real estate in all three geographies, seasonal upticks in specialized lending and other capital investment needs from our existing clients. Turning to deposits now on Slide 9. Balances were down slightly from the prior quarters, and up 4% over the same period of prior year. The lack of growth in this quarter relates primarily to two large commercial clients who moved balances out of the bank. These were bank motivated decisions driven by deposit pricing and relationship fit issues. Balances have also been impacted by clients using cash to pay down lines as previously discussed, or opting for higher-yielding alternatives nonbank investments. Competition for deposits continues to escalate in all our markets. We have proactively approached our top commercial depositors to discuss their cash strategies, allowing us to manage deposit relationships through the extent possible with the goal of reverting our competitive market process on these larger balances. Sales activity in our commercial and branch channels continues to be solid. Year-to-date, we are opening net new accounts consistently in each quarter. This includes the emphasis on new checking accounts and newer business operating accounts, which is enabling us to maintain a steady percentage of low-cost DDA, about 25% of the total portfolio. We also continue to develop some specialty deposit channels targeting service professionals in the legal financial services and non-profit communities. New balances are building in the low eight figure range across roughly 90 new clients year-to-date. This is a relationship-based initiative, which targets lower cost operating in transactional accounts, while these have a longer lease time, they tend to create more favorable diversity and are sticky overtime. Now, I’d like to hand it over to Keene Turner for a review of our financial results.
Keene Turner: Thanks, Scott. Third quarter results, again, were solid and demonstrate our strong core and total returns. Core growth has led to a strong 2018 thus far, and our underlying fundamentals are stable and remain in line with our high expectations. On Slide 10, we reported $0.97 per share of total earnings with core of $0.86 per share. The adjustments totaled $0.11 per share with non-core acquired asset contribution at $0.03 and $0.08 contributed from tax plannings that afforded us an additional one-time benefit from federal tax reform this year. Core results were, again, strong at $0.86 per share on Slide 11. Core EPS were stable recurring revenue expanded $0.02 linked quarter from growth in net interest income dollars. This improvement linked-quarter was mitigated by fee income, which experienced a BOLI debt benefit of $0.01 per share in the second. Provision expense – expenses and taxes were all stable in the linked-quarter. As Jim mentioned, return on average assets was in excess of 1.6% for both the quarter and year-to-date period, while core return was 1.45% for the third quarter with a similar level of the year-to-date period. With a stable, consistent high-level return profile, we look to continue to grow the balance sheet prudently in the upcoming quarters, while achieving marginal gains in performance and profitability. I’d be remised if I did mention a 20% return on tangible common equity thus far in 2018 with core delivering in excess of 18%. As we look to execute on all fronts and driving shareholder returns, we maintain our recent trend of increasing dividends with a $0.13 per share dividend declared for the fourth quarter along with modest capital management through common stock repurchases. Let’s turn to core net interest income trends on the Slide 12. From my perspective, we’re executing the business model well and managing the flexibility of the balance sheet appropriately. We continue to expand core net interest income dollars resulting from higher average earning assets and day count in the quarter. Sequentially, this added $0.8 million of revenue for the third quarter. Underlying the growth is core net interest margin defend at 3.74%, and we have maintained a stable margin over the last six quarters. Net interest margin performance demonstrates the flexibility and high-quality of left side of the balance sheet, which we had used to assertedly defend the right side. Portfolio loan yield, the gain increased 13 basis points to 5.12%. As you’ve heard from Scott, we did not have net growth. We continue to see new loans as well as existing variable rate loans are contributing to the yield expansion. New loans in the quarter were originated with a weighted average yield of approximately 5.25%, truly by the variable rate C&I portion of the portfolio. Loans remained a consistent percent of the earning assets, while the portfolio loan mix within continued a steady trend towards floating rate, now at 52%. I think that the positive trend the average rate on variable loans exceeds the average fixed rate. Our C&I relationship focused drives these favorable trends and continues to bode well for us in the current interest rate environment. On the other side of the balance sheet, deposits and funding costs behaved as we expected them to. We continue to deploy improving asset yields to defend and ultimately grow deposits. Although it’s not apparent point-to-point, we have improved the composition of funding base this year. Third quarter average deposit balances were up. We’re encouraged by the results to begin the fourth quarter with momentum in DDA and transactional accounts. As you’ve heard from Scott, we continue to grow the number of accounts, and we’ve begun the work to further drive consistency in deposit funding by replacing certain large-dollar deposits with numerous new smaller accounts. This process has started to gain traction, should help to provide some more consistent growth and ideally, improve our ability to manage and maintain funding cost more effectively as interest rates change. We remain aggressive in targeting new core deposits and defending existing customer balances. We believe that we are seeing some abatement in the level of repricing that has occurred. Nonetheless, competition is robust and the cost of deposits also increased by 13 basis points in the quarter to 0.86%. Defending core net interest margin is a priority for us as it aids the growth of net interest income dollars. We’ve maintained discipline on duration both in loans and investment securities as well as repositioning the underlying composition of loans to more variable rates. We believe this will help us ultimately maintain a relatively favorable NIM in upcoming quarters. Despite a flat third quarter, we expect 2018 portfolio loan growth will still be high single-digit. We also believe that long-term growth rate of 7% to 9% is appropriate, given our diversified business model and significant business development efforts. With that, we’ll turn to Slide 13, which is our credit trends. Provision in the third quarter was essentially flat at $2.3 million. Net charge-offs of an existing specific reserve and additional amounts on two credits in particular, drove the provision trend. Despite that levels of non-performing loans and assets were essentially stable, covered for the allowance for loans and related provisioning remains prudent, given the overall credit trends and portfolio composition. Our asset quality comparison to peers in the lower right still remains stellar. On the Slide 14, non-interest income, I mentioned a $0.6 million decrease principally due to $0.3 million of bank owned life insurance gains experienced during the second quarter. The current fees were essentially stable with card services revenue continuing to grow, and we’re poised to deliver on the high-end of our 5% to 7% guidance for fee income growth for 2018. Additionally, we expect 2019 fee income growth to expand, given an expected increase from the expansion of our tax credit business. Operating expenses on Slide 15 were flat in the quarter at $29.2 million, which resulted in core efficiency of 52%. Consistent with year-over-year and quarterly trends, we’re still expecting marginal efficiency will generally range from 35% to 45% of revenue growth. And as in past, most of the expense growth will be continued investment in personal and other revenue drivers. On a recurring basis, we have improved operating leverage in the quarter, which is principally net interest income growth and flat expenses. Finally, Slide 16 tracks our quarterly EPS progression. Full-year compound growth 24% and 130% improvement in the quarterly run rate demonstrates that our focus on incremental progress has been successful. Our strategies support continued EPS growth over the long-term and returns from already high levels. 2018 results have been strong and stable, and as always, we remain poised for near- and long-term growth. That concludes our prepared remarks. We sincerely appreciate your interest and support of our company and for joining us today. At this time, we’ll open the line for questions.
Operator: Thank you very much. [Operator Instructions]. Our first question will come from Jeff Rulis, D.A. Davidson.
Jeff Rulis: Thanks. Good afternoon.
Scott Goodman: Hey, Jeff. This is Scott.
Jeff Rulis: Good. Thanks. Scott, you had mentioned kind of some of the headwinds on the loan growth are not headwinds but some structural and also allowing some credits to go by. I was wondering if loan growth is also somewhat held in check due to the – kind of, the challenges on deposit growth, is the funding side also a contributor to, kind of, where loan growth could be greater possibly? Or where does that fall in the discussion on balance sheet growth?
Scott Goodman: Yes. No, I would not say that – the short answer to that is deposits are not impacting our ability to grow loans at this point. I think the loan headwinds were more related to the watch credit loans that I talked about proactively, managing out or opting not to protect some of the line usage behaviors, more so than holding back, per se, due to funding issues. I think we're confident that we can continue to fund loan growth. That's really not the issue.
Jeff Rulis: Okay, thanks. And Keene, I just wanted to clarify the line item through the – that there was an excise tax expense through the non-interest expense. Is that in – was that in other?
Keene Turner: That’s correct. Yes, when you look at those two…
Jeff Rulis: It was about $700,000.
Keene Turner: That’s correct. So, the – just real quickly, there is a – the federal income tax benefit through the provision line item was about $2.7 million and then you had it offset by that excise tax of net-net about $2 million, which is driving the $0.08 of what we call tax adjustment on Slide 10.
Jeff Rulis: Got it. And then we should expect the tax rate to resume around 2018 next quarter and maybe, 2019?
Keene Turner: Yes. So, for next quarter, I think your number is right in the middle of our guidance and then next year 18% to 20%, just sort of given a step-up in profitability, if we continue to grow the balance sheet and maintain returns.
Jeff Rulis: I’ll step back.
Keene Turner: All right. Thanks, Jeff.
Operator: Thank you. Our next question will come from Andrew Liesch, Sandler O'Neill
Andrew Liesch: Hey guys. Hey Andrew. Just some clarification on the increased fee income outlook for next years on the tax credit business. I would imagine that still follows the same seasonal pattern as historically. Is that correct?
Keene Turner: Yes. So, let’s say the underlying $2 million to $2.5 million to generally follow that trend, and then it may be – it's still going to be fairly lumpy, it's not necessarily going to be a consistent business because it is still on the brokerage side. But we do expect that absolute level to trend upwards somewhere in the 20% to 25% growth range in that line item.
Andrew Liesch: And what's driving that, is it more allocation, are you bidding on more, is it more available to bid on, just kind of curious what's behind that?
Keene Turner: Yes. So, we’ve been able to – we invest in a very stable business for – after a number of years, and we work very hard to put ourselves in the position with our expanded capital base and financial strength to be able to continue to participate in expanding there and really it's just right now a function of size and some opportunities that we have in the space. So we're excited about it. It should be – continue to expand from here on out. We're sort of jumping off here with the increase at 20% to 25% for next year, and we'll continue to guide as we see progress and traction and give you more clarity in the – maybe the out years and on timing. But we feel very good on an annual basis about that level of growth.
Andrew Liesch: Okay. Thanks. You’ve actually covered all my other questions.
Keene Turner: Great. Thanks, Andrew.
Operator: Thank you. [Operator Instructions]. Our next question will come from Brian Martin, FIG Partners.
Brian Martin: Hey guys.
Keene Turner: Hey, Brian.
Brian Martin: Just a follow-up to that last one on the expenses – or on the new business pickup from that tax credits. Is there any expense associated with that? Or is that just a net number when you're talking about that, Keene, as far as the pickup, the 20% to 25%?
Keene Turner: Yes. It’s fairly modest Brian. So, it’s essentially included in what we talked about in terms of the marginal efficiency. So that's a – if you keep in mind, that's more of our specialty businesses, the leverage point on those is pretty efficient. We've been running it in fairly centralized small groups. So that's a modest expansion there and we'll articulate those components as they come through.
Brian Martin: Okay. And then maybe, just a couple of others, On the credits that you, kind of, proactively moved out, or I guess, is there – are there more of those, or is there anything, I guess, that concerns you, was there a trend in any of those credits, or is there any more of them that you think you need to clean up, as you, kind of, look toward year-end here? Or is it – you've, kind of, took care of what you had out there?
Scott Goodman: Yes, Brian. This is Scott. I would just say, I think overall we feel good about the quality of the portfolio, in general. I think – we did feel like the markets are really robust. I mean, we competed in every day, and I think we wanted to take advantage of those to the extent that this competition that wants to relieve us as a problem, we're going to allow to do that. I don't – I'm not seeing a huge chunk of that necessarily. There might be a couple more in the fourth quarter. But I think it was a larger group than we would typically see and that's why we wanted to highlight it in this quarter.
Brian Martin: Okay. And maybe just for you Scott, the loans that are tied to, I guess – the variable rate loans you guys have, can you just remind us what – are those tied to prime, are they LIBOR, is there a mix, or is it, kind of, daily? Just any color you can give on those variable-rate loans.
Keene Turner: Brian, it's Keene. They're principally 30-day LIBOR.
Brian Martin: 30-day LIBOR, okay. So I mean, you should get – see if I didn’t get all the benefit in the third quarter, then if I pick up a bit more in fourth quarter, is how to think about it?
Keene Turner: Well, I think we got a very nice benefit in the third quarter that was consistent with the increase, and I think going forward obviously, there was another increase. So that will continue to play through. So I think what we said in the past is 25 bps to 10 to 15 basis points of overall yield expansion, but that depends on what classes in which we're originating and some of the underlying factors. But that's been the, call it, three- or four-quarter trend that we've seen.
Brian Martin: Yes, okay. All right. I had just heard some other commentary from other banks on the LIBOR situation this quarter. But – and then just the last one was, just on capital management, obviously, you picked the dividend up. I think last quarter you talked a little bit about M&A opportunities, I guess, can you provide any update on, are they, kind of, just repurchases or, kind of, M&A, the landscape in M&A today with, kind of, some of the changing markets we're seeing here?
Keene Turner: Yes. Still obviously, I’ll just remind you the priority is our continued organic growth. I think the high single-digit loan growth rate that we've set out with the returns level that we have affords us additional capital management. So we sequentially increased the dividend and obviously, that's – we're still fairly all in the payout level there. So that's an opportunity for us as we move forward that we evaluate each quarter. And then additionally, we are opportunistic with share repurchases, which we have, of course, quick and – a real quick recollection of 1 million shares available under that plan and plenty of liquidity that – to execute there, given conditioning of repurchase conditions. So those are the things that, I would say, are more within our control. And then I'll let Jim talk a little bit more about M&A, which is a priority for us, a little bit more difficult to control.
Jim Lally: Yes. So, Brian, we talked about this each of the quarters. We've had plenty of discussion with other companies and with investment bankers and very active in that space. And the pride there obviously, would be the compliments what we’re doing well, what we need – we’re looking for a really good deposit franchises and you knew well that those are few in far between, but we spend a lot of time on it and spending a good deal of effort and feel good about the progress we’re making.
Brian Martin: Okay. So I guess the opportunities are still in front of you guys. It’s just, I guess, given with the finish line, is how to think about it?
Jim Lally: Agreed.
Brian Martin: Okay. All right. I appreciate the update guys. Thanks. Nice quarter.
Jim Lally: Thanks Brian.
Operator: Thank you. Our next question will come from Michael Perito, KBW.
Michael Perito: Hey good afternoon guys.
Jim Lally: How are you, Mike?
Michael Perito: Good. Thank you. Actually, most of my questions have been answered already, but I do have a couple. On the – Scott, you mentioned the legal and nonprofit deposit opportunity and issues there. I was wondering – yes, two – kind of, two- part question here. I guess, one, can you, kind of give us a sense of the scope of that opportunity, as you guys see it today? And then secondly, are we – should we be thinking about this as a pure net growth opportunity or are there still opportunity to, kind of, improve the deposit base and swap out some maybe higher-cost funding or more volatile funding for these types of deposits, as you will need some relationships over the longer sales cycle?
Scott Goodman: Yes. Great questions. I do think – we do think that this – these strategies can’t be broader. I think they’re really related to approaching these firms and these professionals or balances that are low-cost or they need easy access, they need access to an expert within our company that understands whether it’s the law firm or the association and the not-for-profit case or the wealth management firm, somebody understands that business. And that we have them enable to do a transaction easily. So it’s something that could – that right now is in footprint, but that ultimately could expand outside of that footprint. I think – I feel good about the number of new relationships, I think I highlighted that, over 40 in the association niche, close to 50 in the legal niche. I know they’re all relationships that once we get accounts going, they recur, they open additional accounts. So I think it can have substantial traction over time and it’s low-cost and diversified. I think that’s the profile we like.
Keene Turner: And then Mike, I’d like to handle your portion of the question on the composition of funding. We like to walk before we can run. So number one, we’re first and foremost looking at that as an opportunity to improve the level of just deposit funding overall, and the – a decrease in the amount of wholesale funding. So we’re hopeful that some of that starts to show through in the coming quarters and that’s the immediate opportunity. We – our expectation for stable net interest margin does not contemplate us materially improving the composition of the funding base, and it really just confident like more of the same. So that is an opportunity for us as we move forward. But we’re still fairly early in getting these niches and some of the deeper deposit growth in number of accounts off the ground here, to drive that. So we’ll be more intentional about the way we guide as we move forward. But I think knowing our posture and knowing our – the way we guide, I think we’re more inclined to guide at the status low and then come back and provide as we see progress there.
Michael Perito: Helpful color. Thanks guys. And then just one last one to pry a little bit more about the capital deployment that you can control. I mean, any kind of more specific comments maybe about share repurchases here. I mean, it seems like obviously, you bought back the $47,000, obviously the shares have come in a bit since then. I mean, it seems by looking at all of your ratios, there’s plenty of capital, I guess, any reason why we shouldn’t be thinking about you guys being a bit more active near term with the share repurchases more specifically?
Keene Turner: No. Just sort of give in blackout and other things there, there may be some restrictions and limitations there. But no, certainly – we think the current levels are attractive.
Michael Perito: Okay. And that was just to confirm, I heard that right. You said there just about one million shares left on the repurchase authorization.
Keene Turner: Yes. I answered more than that, I don’t have the exact numbers at my fingertips.
Michael Perito: Okay. Great. Thank you for taking my questions guys. Appreciated.
Keene Turner: Thanks Mike.
Operator: Thank you very much. Our next question will come from Nathan Race, Piper Jaffray.
Nathan Race: Good afternoon. Just have one last question on loan pricing. Obviously, we’ve seen base rates move higher over the last several quarters here. So just curious if you’re seeing any spread erosion at this point from competitive aspects, or if you maybe just provide some color on what the weighted average rate on new loans yield – on new loans in the quarter was. And I know that can change throughout from quarter-to-quarter depending on where the production is coming from, but any color on what you guys are seeing from a loan pricing standpoint, would be appreciated.
Keene Turner: Yes. So as I had indicated, new originations are – weighted average right around 5.25%. We’re actually seeing most of that mostly increased driven by the variable rates, C&I originations. Scott and Jim can comment on this, but our lower yields are certainly in the real estate and other more competitive sectors that you think and are really on some of the shorter-term fixed rate stuff that we would be putting on. But again, I would just point out that we’re still 52% variable and moving at about 2% plus more variable every quarter. So I think we’re staying very disciplined there. I think there’s certainly a lot of competitive pricing that’s out there, and we certainly could raise to the bottom. But we want to get paid through the value proposition that we have and acquire more relationships. So I don’t know, if Scott would like to add anything to that.
Scott Goodman: [Indiscernible]
Nathan Race: Okay. Got it. And just changing gears a little bit and thinking about credit quality. Obviously, MPAs picked up a little bit in the quarter, but obviously off a fairly low base. So just kind of curious what – how we should think about maybe the trajectory of charge-offs here. I know it’s tough to predict but just any color in terms of how we can maybe expect the reserves to build as you guys kind of move back towards that high single-digit loan growth target?
Keene Turner: I mean, I think what you see from us is that over a long-term trend, we’ve been providing on a relatively high level for loan growth. So that’s been somewhere between one and 115 basis points on new originations. We think that has driven some high-quality loans. And then from a net charge-off perspective, I think we – if you kind of look at what we’ve done maybe one in every five quarters, we’ve got what we consider to be elevated charge-offs, and that’s 25 basis points or something like that, and then we abate to a smaller amount. So given that none of the issues that we see our pervasive, I think we’re comfortable with, sort of, the most recent five or six quarter history prevailing, and we had no real change in our posture because that credit quality is outstanding, but we’re going to continue to provide prudently – despite the fact that much of the loss history would suggest that loans we’re putting on are a much lower loss rate than we’re providing.
Nathan Race: Got it. That’s really helpful color and good to hear. Thanks for taking the questions guys.
Keene Turner: Sure. Thanks Nathan.
Operator: Thank you very much. Speakers at this time we have no further questions in the queue.
Jim Lally: Okay, great. Well, I want to thank everybody for joining us this afternoon and we look forward to visiting with you again next quarter. Thank you.
Operator: Thank you very much. Ladies and gentlemen, at this time this now concludes today’s conference. You may disconnect your phone lines. And have a great rest of the week. Thank you.